Operator: Ladies and gentlemen, thank you for standing by, and welcome to the Synopsys Earnings Conference Call for the First Quarter Fiscal Year 2013. [Operator Instructions] Today's call will last 1 hour. And 5 minutes prior to the end of the call, we will announce the amount of time remaining in the conference. As a reminder, today's call is being recorded. At this time, I would like to turn the conference over to Lisa Ewbank, Vice President of Investor Relations. Please go ahead.
Lisa Ewbank: Thank you, Rochelle. Good afternoon, everyone. With us on the call today are Aart de Geus, Chairman and CEO of Synopsys; and Brian Beattie, Chief Financial Officer. Before we begin our remarks this afternoon, I'd like to remind everyone that during the course of this conference call, Synopsys will discuss plans, forecasts and targets and will make other forward-looking statements regarding the company, its business and its financial results. While these statements represent our best current judgment about future results and performance as of today, our actual results and performance are subject to many risks and uncertainties that could cause actual results to differ materially from what we expect. In addition to any risks that we highlight during this call, important factors that may affect our future results are described in our most recent annual report on Form 10-K and today's earnings press release. All financial information to be discussed on this conference call, the reconciliation of the non-GAAP financial measures to their most directly comparable GAAP financial measures and supplemental financial information can be found in the 8-K, the earnings press release and the financial supplement that we released today. All of these items are currently available on our website at www.synopsys.com. With that, I'll turn the call over to Aart de Geus.
Aart J. de Geus: Good afternoon, and thank you for joining us. I am happy to report that in Q1, our business, technology progress and customer engagements were strong across the board. We met or beat every target we communicated last quarter, achieving revenue of $475 million and non-GAAP earnings per share of $0.67. As a result of this excellent start to the year, as well as reinstatements of the federal R&D tax credit, we're raising our non-GAAP earnings per share outlook for fiscal 2013 to a range of $2.35 to $2.40, up solidly from our high single-digit guidance into double-digit growth. Brian will provide more financial detail in just a minute. Before discussing some highlights, let me briefly comment on the customer landscape, which fundamentally has not changed much from last quarter but benefits from a slightly more stable macroeconomic outlook. Against this backdrop, we see the semiconductor industry continuing a very aggressive push, both in terms of technology and efficiency. The technology drive is motivated by companies seeking to differentiate themselves by adopting a wave of emerging new semiconductor capabilities. The efficiency push addresses the challenge of delivering these new technologies under aggressive product cycle and cost requirements. The EDA industry, and Synopsys in particular, is a key partner in these quests. Increasingly, customers see their EDA relationship as an essential differentiator in their market battles. Although difficult to generalize in our very competitive landscape, we do sense a bit of improvement in the pricing environment and business terms. The corollary to my comment on differentiation is this. Customers and suppliers increasingly realize that to navigate the intersection of advanced technology, unforgiving time to market and intense competition, close collaboration is essential. Synopsys' focus on both points tool [ph] leadership and integrated solutions makes us a desirable supplier, and our collaboration with advanced customers and key partners continues to yield great results. Just last week, for example, we further expanded our broad collaboration agreement with ARM to include the latest ARMv8 processor models. Working with mutual customers, Synopsys and ARM jointly accelerate product development cycles around ARM's latest processors. State-of-the-art collaboration relies on the constant delivery of new capabilities, so let me provide some recent product highlights. On the implementation side, Synopsys supports a continued aggressive adoption of more complex design nodes. Simultaneously, we see a fundamental discontinuity in the structure of the transistor. We're closely working with silicon providers to roll out evolving technology to address these challenges. With the structure of the transistor itself migrating from horizontal to new vertical FinFETs, better power and performance open the door to great new applications. It also brings about a slew of technical challenges in EDA and IP, challenges for which Synopsys is particularly well equipped, again making us a key partner in our customers' future differentiation. As an example of how customers rely on us, 90% of 20-nanometer and below tape-outs today have used Synopsys implementation, while we're already working with some all the way back down to 10 nanometers. Synopsys is the only EDA company that has been investing for many years in FinFET enablement throughout our portfolio, from 3-dimensional TCAD simulation to photolithography to manufacturing tools, to physical placement, routing, extraction and verification, to circuit simulation and custom design, all the way to sophisticated IP libraries, memories and building blocks. A good example of multiyear collaboration in this area is with Samsung, where we successfully taped out the first test chip on their 14-nanometer low-power process. Samsung chose Synopsys as its FinFET partner because of our successful 20-nanometer collaboration history and our comprehensive FinFET focus throughout our portfolio. As advanced transistor research accelerates, demand for our 3D TCAD products continues to grow. For example, during the quarter, we expanded our collaboration with Imec, a world-leading research center, to jointly optimize FinFET technology for 10-nanometer and below design. Multiyear collaborations have not only yielded a number of advanced tape-outs, but today, we are also selling our own FinFET-based embedded memory libraries and logic IP. Finally, through the acquisition of SpringSoft, we also have a FinFET-ready custom implementation solution. Notwithstanding the emphasis on advanced technology, our business with customers who are focused on more established nodes is also strong. These customers invariably squeeze performance, power and area out of their chips to be competitive. We recently demonstrated that advances made in our leading-edge tools have great impact on established nodes as well, most notably in run time and capacity, which is a good transition to the topic of verification. The move to smaller transistors also enables the other side of Moore's Law, many more transistors. Indeed, the overall complexity of not only chips but systems of chips is precisely what makes continued end product innovation possible. Verifying these products is the largest bottleneck in electronics. Just looking at the latest smartphones, one finds multiple multicore processors with hundreds of millions of transistors coupled with complex operating systems, applications, networking and wireless protocols. Not only is the hardware complex, but so is the interaction of the hardware and the software. Solving these verification challenges has been a major focus for Synopsys for many years. Today, we are the market leader in both leading-edge digital verification with about 70% of advanced designs using -- utilizing Synopsys and analog simulation, where 80% of the designs rely on our tools. VCS, which continues to grow well, is the fastest simulator on the market today. With the acquisition of EVE, we also have added the fastest hardware emulator, and combined with our HAPS FPGA boards, we cover the entire hardware validation and hardware software verification space. With the acquisition of SpringSoft, we've added to our portfolio the most compressive open debug system, thus, addressing the entire verification market with outstanding point tools. We have started to combine the best features of these, and we're driving integration of all the elements into a full-line verification solution. Initial customer reaction has been strongly positive, as we have quickly asked for feedback from them. We're now well into the process of developing and communicating combined roadmaps. Both the EVE and SpringSoft integrations are progressing very well. The third area I would like to briefly highlight is IP and Systems, which now represents 1/4 of our revenue. We're the second largest IP vendor with approximately 1,400 IP engineers worldwide designing the most complex IP blocks, importing to all key foundry processes. After 15 years of investment, our DesignWare IP is shipped in more than 1 billion chips per year. Every 2 days, a chip is taped out using our USB. Every week, a chip tapes out with our PCI Express, and customers have already delivered tens of millions of chips containing our 28-nanometer IP. Today, Synopsys is the #1 vendor in interface cores, analog IP and embedded memories. And the market for more IP, including the sub-20-nanometer nodes, continues to expand. We intend to grow our IP business at double-digit rate while gradually increasing its profitability, as we've successfully done in the last 2 years. In systems, we're seeing momentum in both software and hardware-based prototyping. This is promising as we've invested in this area for a number of years, believing that hardware/software verification, as well as the ability to develop software earlier in the process would grow in importance over time. This quarter, 2 large and influential electronic companies increased deployment of virtual prototyping, driving good run rate growth. As the key enabler to early modeling of chips for software development, we expect virtual prototyping to grow gradually and become more mainstream as system complexity emerges as the weak link in time to market. Bridging between systems and verification, our earlier mentioned FPGA-based prototyping systems, HAPS is doing very well also. With a who's who of customers, our newly launched HAPS-70 Series, which uses the most advanced FPGAs on the market, was named Electronics Design's 2012 EDA Product of the Year. In summary, Synopsys is doing very well in all dimensions: technology progress, customer collaboration and financial execution. In Q1, we delivered results that serve as an excellent start to the year. And as a consequence, we're raising EPS guidance to reflect confidence in our outlook. I will now turn the call over to Brian Beattie.
Brian M. Beattie: Well, thank you, Aart, and good afternoon, everyone. In my comments today, I will summarize our financial results for the quarter and provide you with our guidance for Q2 and the full year. In my discussions, all of my comparisons will be year-over-year, unless I specify otherwise. Now Synopsys delivered an excellent quarter, meeting or exceeding all of the quarterly financial targets that we provided in December. Q1 financial results were highlighted by double-digit growth in both revenue and non-GAAP earnings. And now some additional detail. As a reminder, Q1 of FY '12 included an extra fiscal week, affecting revenue and total non-GAAP expenses by approximately $25 million and $16 million, respectively. Total revenue was $475 million, an increase of 12% compared to a year ago and at the high end of our target range. Normalizing for the extra week in FY '12, revenue grew 19%. Greater than 90% of Q1 revenue came from beginning-of-quarter backlog and one customer accounted for slightly more than 10% of first quarter revenue. The average length of our renewable customer license commitments for the quarter was about 2.4 years, affected by a couple of large 1-year add-on deals. We continue to expect the average duration for fiscal 2013 to be about 2.7 years. Turning to expenses. Q1 total GAAP costs and expenses were $414 million, which included $32 million of amortization of intangible assets and $18 million of stock-based compensation. Q1 total non-GAAP costs and expenses were $355 million, an expected year-over-year increase due to increases in compensation and other expenses from our recent acquisitions. Non-GAAP operating margin was 25% for the quarter. For all of FY '13, we are on track to expand non-GAAP operating margin by approximately 100 basis points over FY '12. Turning now to earnings. GAAP earnings per share were $0.45. Non-GAAP earnings per share increased 20% to $0.67, exceeding our target range. Normalizing for the extra week in FY '12, earnings grew 31%. Earnings outperformance was driven primarily by a lower-than-expected tax rate, as well as higher-than-expected other income, along with operational execution. Our non-GAAP tax rate was 18% for the quarter, well below our target range, driven primarily by January's reinstatement of the federal R&D tax credit for fiscal years 2012 and 2013. The Q1 2013 tax rate includes a retroactive benefit of $6 million for fiscal year 2012, in addition to the impact of the tax credit for Q1 of 2013. As a result, we now think that a non-GAAP tax rate of approximately 23% is a reasonable estimate for FY '13. Now turning to our cash and balance sheet items. We ended the quarter with $550 million in cash and cash equivalents with 27% onshore and 73% offshore. As expected, there was a net operating cash outflow. The Q1 outflow of $91 million was due primarily to the timing of our prior year annual incentive compensation payments. We continue to target operating cash flow of at least $350 million in FY '13. During the quarter, we paid back $7.5 million of our outstanding term loan. We did not spend back cash -- spent cash to repurchase our stock. However, we will consider buying back stock during the year, the amount and timing of which would depend on acquisition opportunities. We have approximately $272 million remaining on our current share repurchase authorization. DSO declined 7 days to 52 days. And we ended Q1 with 8,165 employees with about 1/3 in lower-cost geographies. Now let's address our second quarter and fiscal 2013 guidance, which excludes the impact of any future acquisitions. For the second quarter of FY '13, our targets are: revenue between $490 million and $500 million; total GAAP costs and expenses between $409 million and $425 million, which includes approximately $17 million of stock-based compensation expense; total non-GAAP costs and expenses between $362 million and $372 million; other income and expense between $1 million and a negative $1 million; a non-GAAP tax rate of 24% to 25%; outstanding shares between 154 million and 158 million; GAAP earnings of $0.38 to $0.44 per share; and non-GAAP earnings of $0.63 to $0.65 per share. We expect about 90% of the quarter's revenue to come from backlog. Now our fiscal 2013 outlook. Revenue between $1.955 billion and $1.975 billion, a growth rate of approximately 11% to 12%, or 13% to 14% excluding the extra week in 2012; other income and expense between $1 million and $5 million; a non-GAAP tax rate of approximately 23%; outstanding shares between $155 million and $159 million; GAAP earnings per share of $1.44 to $1.56, which includes the impact of approximately $70 million of stock-based compensation expense; and non-GAAP earnings per share of $2.35 to $2.40, which represents solid double-digit year-over-year growth; capital expenditures of approximately $70 million. And as I mentioned earlier, we're targeting cash flow from operations of at least $350 million. To assist in your modeling, second half revenue is expected to be greater than first half revenue, and total non-GAAP expenses are expected to be skewed towards the second half of the year. In summary, we're pleased with our excellent first quarter results, highlighted by top and bottom line growth and continued solid operating margin. And with that, I'll turn it over to the operator for questions.
Operator: [Operator Instructions] And your first question comes from the line of Rich Valera of Needham & Company.
Richard Valera - Needham & Company, LLC, Research Division: Aart, you mentioned that you are seeing maybe a slightly more stable macroenvironment. But I would think that government agencies and perhaps aerospace companies that are exposed to government might be seeing some hesitation due to the potential for sequestration coming. And have you seen any of that? And if not, do you think you might?
Aart J. de Geus: Thanks, Rich. It's a good question. We have indeed seen a little bit of that with some of the government-related businesses that are just a little bit more careful before committing to whatever renewal they may have. At the same time, that is a relatively small portion of our business and is completely overshadowed by the much bigger companies, certainly bigger in terms of their EDA spending, that are driving all the commercial markets and the global markets. And so I just happen to know of one case where what you said is true, and that's all I know. So it's not very heavy on our mind.
Richard Valera - Needham & Company, LLC, Research Division: No, that's great. And then, Aart, some pretty positive comments with respect to your positioning with respect to FinFET adoption and the move to kind of 3D. Can you say if you think you're seeing incremental purchasing for FinFET implementation sort of above and beyond what you might have seen, if folks have been sticking with 2D? Or do you think this is sort of a normal progression that there's sort of a continuous progression where there's always purchasing being done for sort of the next technology?
Aart J. de Geus: So I do not think it's the normal progression. And actually, one of the reasons I'm bullish on FinFET, in general, is because I think FinFET heralds another decade of Moore's Law. And that's a pretty bold statement given how many people have said, well, it's all getting too expensive, too difficult, which are all sort of true statements. But the fact is from being an interesting idea 2 years ago to at least one company having already a shift in production FinFET capabilities to now all the key manufacturers really raising forward to get this capability, you can, at a minimum, see an industry that's making a big bet that FinFET adds new life to Moore's Law. And in my opinion, there's actually a fairly simple explanation why it's good and it's a difficult explanation on how do you make it work, which is that FinFETs have the potential over this continually and performance power ratio. And power has been one of the key limiters in modern semiconductors. The fact that it's difficult is actually something we love because Synopsys is focused on making problems like that go away. And in that context, I'm not surprised at all that there are heavy investments in simulation, in modeling. I think we have the place and routes and things already completely under control. And so now the next phase is really for the semiconductor industry to arrive at good yields for this, and that will take a couple of years. But I wouldn't be surprised if a number of design companies go fairly light on the 20-nanometer node because they really want to go full bore on the FinFET wave. And so there's a lot of work that we have and can do with those companies. And from that perspective, I think it bodes well for the EDA industry.
Richard Valera - Needham & Company, LLC, Research Division: Great. And then I'm wondering if you can give some thoughts on the emulation market and the growth prospects there. Obviously, you became a sort of a new player in that with your EVE acquisition. Obviously, one of the largest players in that market in their recent report said they were looking for a down year in '13. So I was just wondering what your thoughts are on the medium-term growth prospects for the emulation market.
Aart J. de Geus: Well, I think that for any given company, you can have up and down years partially because that's just the reality of when people buy something, they may buy a lot and then they don't buy that much the subsequent year. I wouldn't make too much out of these ups and downs. I think in general, there's no question that verification is a big topic, that's going to be bigger as we see even more transistors and even bigger systems needing to be verified. In the emulation field, of course, everybody hopes that they have the gold standard of technology. But the reality there is that there are different needs and applications. And I think we will see steady growth for all the players. So I expect it to be a healthy market even if there may be quarter-to-quarter some ups and downs.
Richard Valera - Needham & Company, LLC, Research Division: And just one final one, if I could, for you, Brian. I mean, it looks like you guys beat by about $0.12 on the quarter and you mentioned what the different contributing factors were. And you increased your EPS range for the year by about $0.09. So wondering if maybe there was some shifting of expenses out of the first quarter or something that maybe you're figuring or that catch you in Q2 or Q3. Any color on that will be helpful.
Brian M. Beattie: Yes, maybe what I can do is just kind of break out some of the significant overachievements in the quarter and how that profiles into the rest of the year. So first off, in terms of the achievements, we had about $0.06 flow-through as a result of the federal R&D tax credits for both '12 and '13. And that means about $0.04 for '12 and about $0.02 for the first quarter of '13. We had some improvements on other income that related to mark-to-market adjustments we had for our currency hedges. And we don't expect that to reiterate again for the rest of the year. And then we had some operational improvements, a little bit higher revenue, a little bit less in terms of spending. And then as you say, we did increase our overall guidance by about $0.09, which reflects that, plus the continuing R&D tax credit for quarters 2 through 4. So that gives us the additional $0.03 just coming from the tax side. So the rest of the year, we look at it. It's still early on. It obviously gives us the flexibility of making the target investments we need to invest in for providing that longer-term growth such as the IP areas. And again, happy to see we now have top line double-digit growth in '13 and top line bottom line growth as well.
Operator: Your next question from the line of Krish Sankar of Bank of America Merrill Lynch.
Thomas Yeh - BofA Merrill Lynch, Research Division: This is Thomas Yeh calling in for Krish Shankar. Given the strong M&A activity in FY '12, I just wanted to get your view on capital allocation this year. Will your primary use of cash still largely be focused on acquisitions? Or could priorities start shifting towards maybe buybacks or potentially a dividend?
Aart J. de Geus: Well, as you know, we have multiple ways to use the cash, and M&A is something that you have to sort of build up towards. And so at any point in time, we want to maintain a certain amount of cash level. We have a little bit of debt that we are very gradually buying back. That is just a good health discipline. In that context, the 2 things that we really trade off is M&A versus buybacks. And we contemplate both pretty much all the time. And so we have an open authorization from the board. We have done it in the past. We are certainly well versed in understanding that decreasing the share count is a good thing. At the same time, doing good acquisitions grows the business going forward. And as you well know, we don't comment much about any M&A we may do. But fundamentally, our strategies at Synopsys have not changed. In terms of dividend, that is not a pathway that we have chosen to date, and we are not really contemplating it right now either.
Brian M. Beattie: And maybe, Tom, if I may just add to that as well. Of course, as you know, buybacks require U.S. cash to be able to enact that. And we're currently sitting after the end of our first quarter with about $150 million in U.S. cash. And again, we anticipate that amount -- apart from M&A discussions, we expect that amount to continue to grow from now until the end of the year as well, which gives us more flexibility on that side, too.
Thomas Yeh - BofA Merrill Lynch, Research Division: That's very helpful. And can you talk a little bit about progress around the integration of EVE? And within your unchanged revenue guidance for the full year, should we still be expecting roughly $100 million from both EVE and SpringSoft combined?
Aart J. de Geus: Yes, I think that number feels in the right ballpark, although I don't recall exactly what times we may have given. One of the reasons, to be honest, I don't quite recall the guidance, is once we start integrating, it is quite surprising how quickly the old companies fade away largely because we have the benefit of a much broader sales force and a broader market appeal. And the products get either integrated or associated with other things that we sell. Having said that, I think the progress on integration is actually quite good. We have no big surprises to deal with. We are, of course, looking immediately at areas where we can strengthen the technology or areas where customers are looking at us now having a broader portfolio. And in general, the verification field is one where we clearly added a lot of capabilities. Lastly, the ultimate barometer, of course, is the customer reaction. The initial reactions have been very positive. And so the next 12-month reactions is, of course, in terms of so, how much do they buy, and that will be the metric against which we measure our success.
Thomas Yeh - BofA Merrill Lynch, Research Division: Great. And final one from me. You talked a little bit about IP. Can you provide us an update on the percentage of IP that is currently outsourced today? And will you see that penetration of outsourced IP reaching over the next year or 2 where it's expected to level off?
Aart J. de Geus: There are a lot of different estimates on that. One of them says that today, about 50% is outsourced. But having literally just had the, not exactly that discussion but a similar discussion yesterday with the product -- the vice president of marketing of group, he was commenting that it's not only that percentage itself that is relevant, it's also the fact that IP we use in general is growing. And so I think right now, we see a good horizon for our capabilities because it is growing, also because the type of IP is becoming more and more complex. And again, that plays well to our strength. So it's an area that, while demanding investments to build the IP, I think the business potential is good for us.
Operator: And the next question from the line of Sterling Auty of JPMorgan.
Sterling P. Auty - JP Morgan Chase & Co, Research Division: Aart, I'm just kind of curious. For 2013, what do you think are the end markets that are going to pull through that demand, and especially that demand for the smaller geometry and FinFET design chips?
Aart J. de Geus: Well, in one word, mobile, right? Mobile just drives everything still like crazy for a couple of reasons. A, it's super high volume. And so that gets everybody's attention, and therefore, there's also a high attention being put on the price of the chips. But secondly is because everything mobile is limited in its performance by the power consumption. And so any promise that one could have more capabilities with, let's say, the same power, because that's typically what happens, is of high value in future product differentiation. I do not expect that to change at all. Now around mobility, of course, is the whole infrastructure that has to support this. Sometimes people call it the cloud. Sometimes people call it the compute centers but -- or data centers. And they are essentially a reflection of not only the amount of -- the number of mobile devices but also the tremendous traffic that is engendered by them. Both of these -- those will continue. The number of companies that are leading this is not super large but is very, very focused and very aggressive. And so that is why I have a high degree of confidence that as soon as FinFET yields well, we're going to see a lot of activity there.
Sterling P. Auty - JP Morgan Chase & Co, Research Division: Got you. On the contract duration side, can you give us an idea, if you strip out the 1-year deals, what duration would have looked like? And can you confirm again, did I hear correct, those 1-year deals were only add-ons, they were not renewals?
Brian M. Beattie: That's correct, yes. We had just a number of add-ons where customers already have a 3-year deal. And then they look towards the end of the contract expiry and say, "Hey, we just need another 1-year addition to what we already have in place to handle some additional seats and applications." So that's how they look at it. Our average, again, for the year, we'll say, is the 2.7 to 2.8 years. And just based on the first quarter that came in at 2.4, we think it will revert back to the mean.
Sterling P. Auty - JP Morgan Chase & Co, Research Division: All right. So stripping out those 1-year, there's nothing that dissuade you from that 2.7 for the year, obviously?
Brian M. Beattie: No, no, it doesn't, no.
Sterling P. Auty - JP Morgan Chase & Co, Research Division: Okay. And then back to the guidance question; the reinstatement of the R&D tax credit and the performance in the first quarter, did you guys decide to increase investment for either the rest of the year or perhaps the second half? Or can you just maybe give us at least the -- some additional color on your thoughts around what the operating margin for the year in terms of what you're thinking about how it trends there?
Brian M. Beattie: Absolutely. Yes, we're still on track on the operating margin question, to be approximately 100 basis points improvement, which builds on last year's 100-basis-point improvement as well. When we look at the profile, again, the R&D tax credit is great and then it provided us that flexibility. As we look at the whole year, we've seen a very good first quarter come through, forecast also a very strong second quarter. And then as we just look at it in terms of tweaking the overall quarterly profile of expenses to maintain that double-digit EPS growth as well for the year. And in the second half is typically where you see the impact coming from compensation increases that are in place from our facilities around the world. We see that factor coming in, some increased headcount as a result of the investments. And these investments in the second half are really essential as we drive continued growth through '14 and beyond. So again, we're just targeting those investments towards the back half of the year, and that's what's factored into our profile.
Sterling P. Auty - JP Morgan Chase & Co, Research Division: And last question because I know it's going to come up -- it's already come up in a couple of conversations with investors. Looking at the quarter, the sales and marketing expenses where one area that provided some EPS upside, at least relative to our estimates. And we all think about sales commissions tied to bookings from that line item. Is there anything in the 1-year add-on deals that perhaps leads to lower sales commission expense that could explain it or anything else that we should kind of factor in?
Brian M. Beattie: Not really, no. I'd just stay with the total year expectation around expenses that we were addressing. And it just reflects from quarter to quarter the amount of profile towards the business levels that come through. And other than that, it comes in a little bit this quarter and the next quarter goes back up, that type of thing. It just moves around. So again, it's just some of the hiring, some of the headcount that came in a little bit lighter than we anticipated, and anticipate that picking up again in the second quarter and beyond.
Operator: [Operator Instructions] And the next question from the line of Thomas Diffely of D.A. Davidson.
Thomas Diffely - D.A. Davidson & Co., Research Division: Just first, Brian, to clarify, you said there was a $0.02 impact from the R&D tax for the -- in the first quarter?
Brian M. Beattie: Yes, that's correct. Yes, for the FY '13 impact.
Thomas Diffely - D.A. Davidson & Co., Research Division: Okay. And what was your expectation then for the full year? Is it $0.02 per quarter?
Brian M. Beattie: No, it's about a $0.01 each over the next 3 quarters. So it's about $0.05 for FY '13 and about $0.04 for FY '12. That makes up your $0.09 profile.
Thomas Diffely - D.A. Davidson & Co., Research Division: Okay, all right. And then when you look at the kind of the increase in the non-GAAP expenses in the second half, is that more fourth quarter loaded like it typically is?
Brian M. Beattie: It's a little bit more towards the fourth quarter, but almost even, just a little bit higher in the fourth, based on the profile we've got right now. And again, those compensation increases kick in about the June timeframe, and then the rest is profile of the investment and headcount growth that we've got. So it kind of leans a little bit towards the fourth but not too far off the third.
Thomas Diffely - D.A. Davidson & Co., Research Division: Okay. And then earlier, you guys were talking about the pricing getting a little bit better. Was that on the core EDA side versus the IP side?
Aart J. de Geus: Yes, it's on the core business.
Thomas Diffely - D.A. Davidson & Co., Research Division: Okay. And also, Aart, we've heard from some of the large foundries lately that there's been a ramp-up in 20-nanometer business with some new customers that's actually emerging out of Asia, China, in particular. Is that becoming a meaningful part of your business at this point, some of these new fabless players at the leading edge?
Aart J. de Geus: Yes and no. China has been growing in general over the last few years. And in parallel to that, the technical competence has steadily moved up. And so now there are a few players in China that do very advanced design. And of course, they tend to quickly also become the biggest spenders in that geography. Even so, they are still relatively small compared to the really very large international companies that have been leading the field. But I think this will steadily grow, and we are doing particularly well with them because of the advanced nodes. So I think we are increasingly in a very global world that includes China and the technology just follow suit.
Thomas Diffely - D.A. Davidson & Co., Research Division: Okay. And then also earlier, you talked about the FinFET and how that was going to drive growth going forward. Do you see similar trends from things such as 3D NAND that's on the horizon, as well as EUV? How do those technologies impact both your design of your products as well as what the market might be longer term?
Aart J. de Geus: Well, just to clarify, there are 2 types of 3D. One is inside of the chip, which is 3D, often referred to as the FinFET, a vertical transistor. The other 3D that's often used as a term is the stacking in various forms of multiple chips. And for a while, people looked at the second one as an alternative just in case the 3D transistor wasn't coming about. Well, I think the 3D transistor is absolutely coming about, which doesn't negate the need for the second one, but I think that will take its time. When you're talking about things like EUV, you're talking about a whole new form of photolithography. And the jury is still very, very much out in terms of how economically viable this is and when it becomes economically viable. And so most of the investments that go in that direction are in the equipment manufacturing industry. And yes, we touch it a little bit because we have some R&D efforts in photolithography and how to model these things. But from a volume or big deployment point of view, I think it's premature to look at that as a major business.
Thomas Diffely - D.A. Davidson & Co., Research Division: Okay. And then finally, on the NAND side, I know memory hasn't been a big driver of EDA tools in general, but when an industry does towards more of the perpendicular -- or I should said say the vertical NAND structure, does that increase complexity enough to kind of kick up the EDA spend?
Aart J. de Geus: Well, if I may slightly correct the perception, we actually have done quite a bit of very good business with memory providers. And there's a lot of simulation that gets done for all of the different memory types. And moreover, memories today are so large that you have to build in all the logic to fix them because almost no memory is perfect. And so they have a lot of self-correcting capabilities, and that actually demands some of the place and route tools. And so it is clearly its own segment. But as a segment per se, we have done quite well with it, and we expect it to continue to grow.
Operator: And the next question from the line of Jay Vleeschhouwer of Griffin Securities.
Jay Vleeschhouwer - Griffin Securities, Inc., Research Division: A couple of financial questions first for Brian and then market questions for Aart. First, Brian, in the fourth quarter, there was a very close correlation between your IP, your services and your Asia Pac revenues. I'm wondering if there was a similar correlation at all in terms of several forms of business in the first quarter? Or at least perhaps you could explain the strength you saw in your maintenance and services line. And then secondly, for you as well, could you talk about your cash flow expectations? You took up your GAAP earnings expectations for the year, but you left your cash flow the same. It's clear your GAAP net income will be higher for the year, plus your depreciation and amortization and your stock-based comp. So is there something in working capital that you're thinking will be negative or adverse to your total cash flow for the year?
Brian M. Beattie: Good questions. Okay, Jay, let me run through that. On the first one about the services business and our IP business. Over the last 18 months or so, we've seen a small shift in the makeup of the business. So we now see a significant amount of what we call percentage completion on contracts entering from a number of the acquisitions we've done. And as we advance to really some incredible technologies, we have to get in and tweak some of the software that goes into the IP. And when you look at things like percentage completion and deliverables of that, as well as the hardware business now related to both emulation and our hardware prototyping businesses, those have a slightly different profile relative to our traditional 3-year businesses. So again, just as I say, tweaking the profiles of that. Hardware is typically taken upfront. The percentage completion on services is exactly that as the job gets done. But it's typically over a 6-months period and not a 3-year window as a traditional license is taken. So apart from that, anything else is just coincidental based on timing of those deliverables and when we make the commitment. On your cash flow question, as we look at the total year, again, still feel comfortable with approximately $350 million of good cash inflow for the year. And relative to tax benefits and other things that go through, again, it just kind of comes into account for where the specific cash flows are forecast originally. And again, this is predominantly a U.S. R&D tax credit. So obviously, it has an impact on our U.S. taxes payable. And we're in pretty good shape based on that, and it helps build up NOLs and other tax elements for us going forward. So no change to the overall forecast. I think it's a good, solid number. And the other point you brought up about amortizations and capital and all the rest, there's really no change in those numbers for the year.
Jay Vleeschhouwer - Griffin Securities, Inc., Research Division: Okay. For Aart, a couple of things. I'd like to ask how you're thinking about your organic growth in core EDA. And currently, you have high, if not majority, share in a number of large categories. Systems [ph] is obviously implementation, RTL simulation and most of analysis where you have very strong share. Yet each of those categories is not necessarily growing at or above the industry growth rate. So could you talk about your components or your drivers of getting to your, I think, mid-single-digit core EDA growth assumption? Can you -- do you need FinFET and the other incremental forms of business you talked about to just get to mid-single-digit core EDA? Do you think that what you've been talking about tonight can get you above your prior comments about core EDA growth?
Aart J. de Geus: Okay. Well, let me first characterize where this comes from. We've been talking now for a number of years that we enter a year typically with an objective to be high single-digit growth and that we characterize that over a long period of time as the core being in the mid-single digit and then some of the other capabilities such as IP being in double digit. And this all sort of adds up to high single-digit growth. Now having said that, the last 2 years, we clearly exceeded on that. Right now, we just communicated that we are very solidly in double-digit growth for this year, so we anticipate. And so clearly, we have done better in pretty much all the categories than our steady-state model. We just don't give -- we don't want to give an impression that you can just look at many years out and assume that is always the case. You have to work for it. And so in that context, this year, I think we will do better than these assumptions. Clearly, from an overall market growth point of view, in our industry, we're doing very well. And because of that, our focus is already completely moved towards '14 and '15. And last but not least, much of this is sold in fairly complex schools of technology that mix and match a little bit of everything. And so there's always a slight degree of artificiality to pinpoint the exact growth. But I do you think that in our industry, and specifically for Synopsys, we have a wave of pretty good organic growth.
Jay Vleeschhouwer - Griffin Securities, Inc., Research Division: All right. And then lastly, more on the technical side perhaps. Last year at DAC, the company highlighted that you had enabled your critical tools with double patterning as filling an essential need for a design at 20-nanometer and similar advanced nodes. Tonight, you spoke a number of occasions of FinFET and yield of FinFET. Is there some connection between having double pattern enabled your tools and yield on FinFET? Or is there something more you need to do to meet the industry needs for the kind of yield you referred to in this new technology?
Aart J. de Geus: Okay, a very good technical question. Just to -- for the benefit of everybody, let me make sure you understand what we're talking about. When we're talking about FinFETs, we're talking about transistors that right now, most of the industry is focusing on a very small dimension. And I won't go into too much specifics because different companies are very guarded, rightfully so, on what they do. But typically, it is below 20 nanometers. The connections between these transistors, there's a variety of approaches, from above 20-nanometer to below 20-nanometer. And again, different players are looking at different configurations of how to go to market and how to get yields and how to differentiate themselves. As you go below 20-nanometer for many of these dimensions, it becomes mandatory, in many cases, to not have a single flash of light to illuminate a mask, but multiple flashes of light. That's called double patterning. I won't go into any deeper on the technology than that. But it is very sophisticated because it uses the addition and subtraction of light in order to get much more refinement to the picture. You have to think a little bit about how you probably in grad school developed photographs in a dark lab. In order to get it really sharp, you need very good lenses, and we apply all kinds of tricks to that. Having said that, our tools today are completely conversant with double patterning. And that is the necessity to go to the smaller geometries. We're also conversant with the FinFET structures. And so our tools have been used for FinFET chips that are on the market, in production today. They are being used for pretty much all of the tape-outs for the new chips coming out. And so from that perspective, there's a lot of tuning that will happen between now and high-yield FinFETs. But the fundamental technology, as far as Synopsys is concerned, is in place.
Operator: And there are no further questions in queue. Back to you for closing remarks.
Aart J. de Geus: Well, thank you so much for attending this call. As you saw through our results and through the fact that we increased our guidance, we feel that we have good results and a good outlook going forward. And so we appreciate your comments and questions. And as usual, Brian and I will be available for some follow-ups today. Have a good rest of the afternoon.
Operator: Okay, thank you. And that concludes our conference for today. Thank you for your participation and for using AT&T Executive TeleConference service. You may now disconnect.